Operator: Ladies and gentlemen, thank you for standing by and welcome to the Insight Enterprises Fourth Quarter and Full Year 2020 Operating Results Conference Call. At this time all participants are in a listen-only mode. After the speaker presentation there will a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to Ms. Glynis Bryan, Chief Financial Officer. Thank you. Please go ahead, ma'am.
Glynis Bryan: Thank you, Shelby. Welcome everyone and thank you for joining the Insight Enterprises earnings conference call. Today, we will be discussing the company’s operating results for the quarter and full year ended December 31, 2020. I'm Glynis Bryan, Chief Financial Officer of Insight, and joining me is Ken Lamneck, President and Chief Executive Officer. If you do not have a copy of the earnings release that was posted this morning and filed with the Securities and Exchange Commission on Form 8-K, you will find it on our website at insight.com under our Investor Relations section. Today’s call, including the question-and-answer period, is being webcast live and can be accessed by the Investor Relations page of our website at insight.com. An archived copy of the conference call will be available approximately two hours after completion of the call and will remain on our website for a limited time. This conference call and the associated webcast contain time-sensitive information that is accurate only as of today, February 11, 2021. This call is a property of Insight Enterprises. Any redistribution, retransmission, or rebroadcast of this call in any form, without the express written consent of Insight Enterprises, is strictly prohibited. In today’s conference call, we will refer to non-GAAP financial measures as we discuss the fourth quarter and full year 2020 financial results. When referring to non-GAAP measures we will refer to such measures as adjusted. Non-GAAP measures to be discussed in today’s call include adjusted earnings from operations, adjusted earnings before interest taxes, depreciation, and amortization also referred to as adjusted EBITDA, adjusted diluted earnings per share, and adjusted return on invested capital. You will find a reconciliation of these adjusted measures for actual GAAP results included in the press release and the accompanying slide presentation issued earlier today. Also, please note that unless highlighted as constant currency, all amounts and growth rates discussed are in U.S. dollar terms. Finally, let me remind you about forward-looking statements that will be made on today’s call. All forward-looking statements that are made during this conference call are subject to risks and uncertainties that could cause our results to differ materially. These risks are discussed in today’s press release and in greater detail in our most recently filed periodic reports and subsequent filings with the SEC. With that, I will now turn the call over to Ken. And if you’re following along with the slide presentation, we will begin on Slide 4. Ken?
Kenneth Lamneck: Hello everyone, thank you for joining us today to discuss our fourth quarter and full year 2020 operating results. This past year was one of the most challenging we faced as a company and as a society as a whole, from the difficulties of the COVID-19 pandemic and important social justice issues deserving our attention. We have navigated our fair share of complex experience together, and at Insight we did it while living our core values of hunger, heart, and harmony. We saw our values and actions around the globe demonstrated by our warehouse and distribution center teammates who tirelessly, bravely reported to work each day so essential workers and others had equipment they needed to fight against COVID-19. This, however, was further demonstrated as teammates across the company donated their time, talent, and finances to make a difference in their communities through 3D printing of face shields, [indiscernible] masks through donation and deliveries, hand sanitizing sourcing, and monetary donations to teammates in crisis. I could not have been more pleased with our teammates’ incredible display of culture and have never been proud to be part of our Insight family. In the fourth quarter, the demand environment continued to be challenged, and we focused on answering our clients' most pressing IT needs while helping many plan for the investments required to support the business as the economy recovers. During the fourth quarter, we drove double-digit growth in cloud and warranty solutions, which pushed gross margins to 15%. And we combined with the positive effect of the acceleration of our PCM integration, including the cost synergies, this helped us achieve adjusted earnings from operations growth of 12% year-over-year. Specifically, for the fourth quarter of 2020, consolidated net sales of 2.3 billion flattened year-over-year. PCM results were included in our full fourth quarter 2019 results, the acquisitions having closed on August 30, 2019. Gross margin expanded 30 basis points year-over-year to 15%, reflecting a higher mix of cloud and warranty solutions. Adjusted earnings from operations were 92 million, up 12% year-over-year, and on the GAAP basis earnings from operations were up 24% compared to the same period last year. Adjusted diluted earnings per share were $1.76, up 12% year-over-year, and on a GAAP basis, diluted earnings per share were $1.50.  Moving on to Slide 5, for the full-year 2020, we reported record net sales of 8.3 billion, an increase of 8% over 2019. But then it was including PCM and our results for the full year of 2020 was partially offset by the negative impact of COVID-19 and overall demand and certain supply chain challenges in the business during 2020. Our team's focus on growing our services and solutions mix helped improve gross margins by 90 basis points to 15.6%, a new record for the company. Cloud, as a percent of gross profit increased to 20% compared to 18% in 2019. We also expanded service gross profit 130 basis points year-over-year to 48% of consolidated gross profit. Our business generated $356 million in cash flow from operations for 2020, a record for the company.  Onto Slide 6, top line growth and gross margin expansion combined with continued expense discipline, including acceleration of cost synergies related to the PCM acquisition drove adjusted earnings from operations up 14% in 2020 compared to 2019. On a GAAP basis, earnings from operations increased 13%. Adjusted diluted EPS per share for the full year 2020 was $6.19, an increase of 14% over 2019 results and represents another record for us. On a GAAP basis, diluted earnings per share for the full year 2020 was $4.87, an increase of 10% over 2019. Finally adjusted EBITDA for the full year 2020 was 367 million compared to 322 million in 2019. Next on Slide 7, as we look back to our business before year 2020, we were proactive in our approach and we're pleased with all we accomplished under challenging circumstances. As the pandemic began, the health and safety of our teammates was most important. We prioritized their safety and wellbeing and ensured they felt supported during these uncertain times. With COVID-19 forced the closure of most Insight’s workplaces in March 2020, we completely enabled remote work for roughly 10,000 teammates. We completed the integration of PCM in 2020, retiring 9 ERP systems into our SAP platform, and also accelerating some of our cost synergies. We are exiting the year with approximately 70 million in annualized run rate cost savings one full year ahead of our previously committed schedule.  Expertise across our solution areas allowed us to help clients adapt to new challenges presented by COVID-19. Initially, we supplied hardware and other critical IP solutions enabling work from home and other essential functions. Our digital innovation solution area created the connected platform, detect and prevent solution to help our clients provide a work -- a safe work environment for their employees and customers. We continued to modernize our online experience to creatively reach and grow strong client relationships with digital engagement and marketing. In the second half of the year, we began to see hardware bookings recover in North America, the region with the highest mix of hardware net sales.  We also invested in our salesforce to ensure we have key sales and technical talent in place to compete as the market continues to recover as the results are well positioned to help our clients drive business outcomes in a highly digital environment. Our focus on culture, teammate benefits, and leadership development continued to be acknowledged with several more key recognitions this year, including number 296 out of more than 750 on Forbes world's best employers, number 70 in Fortune’s 100 best workplaces for diversity and inclusion, and number 62 on Forbes 2020 List of America's best employers for veterans. Fast Company recognized Insight in World Changing Ideas Awards for social good, and Human Rights Campaign Foundation recognized Insight for LGBTQ inclusive business practices. In addition to these global and national placements, we were recognized regionally as the best place to work in Chicago, Phoenix, Arizona, Australia, the United Kingdom, Italy, and Austria. Insight Canada was also recognized number three in the top 100 solution providers. Additionally, for 2021, Insight was recently recognized as an employer of choice by Fortune, placing number seven in the information technology service industry on the list of Fortune’s World's Most Admired Companies. This was the first time receiving this prestigious award for Insight. Now on to Slide 8. As we navigated the challenges of 2020, we continue to execute against our strategy to deliver IT solutions to our clients. Our efforts to deploy innovative solutions to the Edge were recognized in the Forrester new way for computer vision consultancies published in Q4 2020. Insight was named a strong performer by Forrester highlighting their expertise and building computers vision solutions that fit current hardware constraints and [indiscernible] platform to manage them. With a global team of 1500 Digital Innovation engineers, architects, and technical consultants Insight maintains the expertise to design and manage computer vision models deployed across mobile devices, vehicles, and in settings with limited or no network connectivity. An example of this innovation is our Digital Innovation team, which helped the manufacturer of commercial generators identify production process issues. As a result, the manufacturers successfully reduced scrap, realized labor savings, and achieved significant ROI. We also leveraged our managed services to help our clients create better workspaces and simplify [ph] device management. For example, our Connected Workforce helped an insurance company optimize end user support across 300 locations by implementing the managed service desk and sales and support teams. Through Insight’s the client improved cost control, resolution times which resulted in increased end user satisfaction. Slide 9, as we transition to 2021 reinforced in our belief that the IT industry is resilient and the demand for IT solutions will continue to evolve during economic downturns and recoveries. Across the markets we are doing business for 2021, industry analysts expect low to mid-single-digit growth across hardware, software, and services sales. In the first quarter we're seeing hardware bookings in North America improved by mid-single-digits year-over-year compared to the first quarter of 2020. This positive data point is supported by elevated backlog coming into 2021, it could lead to above average CECL [ph] results in the first quarter compared to the fourth quarter of 2020. We're well positioned to help our clients solve complex IT challenges. We believe that these strategic investments today and the go to market solution areas over the last several years as well as investments in our solutions and technical talent in 2020 position us well to execute our business goals in the new year. As a reminder, our solution areas are first connected workforce. We help organizations keep their employees connected, productive and secure with professional and managed services that maximize return on investment and free up internal resources. We help our clients work smart.  Second, cloud data center transformation. We help business modernize and secure critical platforms to transform IT. Through end-to-end services from architecture to management we help leverage the right platforms to increase agility and support innovation. Third, digital innovation. We help customers navigate their digital transformation journey end-to-end to improve client’s business performance, engage customers, and recover new revenue streams. We help our clients innovate smart. Our supply chain optimization competency is the foundation of our solution area to ensure we're providing our clients with the critical products and services that will help them manage today and transform for the future.  On Slide 10, as we move forward into 2021, we remain committed to our long-term priorities, which include continuing to innovate in order to capture market share in high growth areas such as the cloud and the intelligent edge, developing and deliver solutions that drive better business outcomes for our clients, expanding and scaling our business with strategic clients in end markets, and lastly, continuing to optimize client experience and our execution through relentless focus on operational excellence. We believe that by investing in operating segments organized around these three long-term priorities we will deliver our key -- our five-year key imperatives for value for our shareholders, clients, partners and teammates. As a reminder, these goals are grow faster than the market at an 8% to 10% CAGR, expand EBITDA margins to 5% to 5.5%, optimize return on invested capital to a range of 19% to 21%, and increase services gross profit as a percent of total GP between 50% and 52%.  To support our go to market strategy globally, we have strong operational platform that includes scalable IT systems and processes, robust digital marketing capabilities, and a culture of continuous business process transformation and automation. In 2021, we plan to continue to invest in these critical areas with a goal to deliver a great client experience while also optimizing our infrastructure to scale the future growth. We continue to make meaningful progress as a company as we successfully transformed our business from an IT and reseller to a well-respected intelligent technology solution provider with deep expertise across multiple technology areas our clients value most. We have a single united global leadership team, integrated and scalable IT systems and operations, a highly engaged workforce that clearly define go to market framework around our solution areas. We believe we're well positioned to compete in the marketplace and win as we head into 2021 and beyond. I'll now hand the call back over to Glynis.
Glynis Bryan: Thank you, Ken. In the recessionary environment of 2020 where clients were focused on controlling discretionary capital investments, particularly for hardware infrastructure products, we focused on selling services and solutions which helped drive gross margins up 90 basis points year-over-year. We reduced our operating costs to meet current demand and accelerated the integration of PCM and this allowed us to drive adjusted earnings from operations growth of 14% year-over-year. And to complement our strong earnings growth, our business generated record level cash flow from operations. Today, we have the majority of our $1.2 billion debt facility available to fund future growth. While earnings and volumes are down versus our original expectations due to COVID-19, our significantly stronger cash flow performance helped us deliver performance ahead of our expectations with adjusted return on invested capital of 13%. This performance demonstrates resilience in our business model, and the cash management discipline we have installed across the business.  Moving on to North America on Slide 12, fourth quarter net sales were $1.8 billion down 1% year-to-year due to decreases in hardware and services sales. Despite higher bookings going into the fourth quarter last year, we did not realize on the top -- growth on the top line for hardware due to continued supply imbalances across the channel and also client requirements to ship in 2021. As a result, we exit the year with elevated backlog that we expect will flare in the first half of 2021. Gross profit in North America for the fourth quarter was up 1% year-over-year driven by 10% increase in services gross profits. These results include strong year-over-year growth in warranty and cloud solutions, which also drove gross margins up 20 basis points year-over-year. Selling and administrative expenses decreased 5% year-over-year, and adjusted earnings from operations grew 13% year-over-year to $78 million.  Moving on to the full year on Slide 13, net sales in North America grew 10% year-over-year. The benefit from including a full year PCM in 2020 was partially offset by the impact of COVID-19 on demand, particularly hardware and also certain supply chain challenges. Gross profit in North America grew 17% year-over-year much faster than sales. Digital -- makes the cloud on warranty sales which are recorded net and the benefit of including PCM in our results for the full year. Gross Margin increased 90 basis points for a new annual record of 16.4%. Expense control and synergy acceleration allowed us to grow adjusted earnings from operations 16% year-over-year, marking the fifth consecutive year of double-digit earnings growth in our North America business.  Moving on to the EMEA on Slide 14, net sales in the fourth quarter declined 5% in constant currency. Gross profit also declined 3% in constant currency slower than sales, primarily due to an increase in higher margins and services net sales. Adjusted earnings from operations was $11 million up 1% in constant currency. For the full year of 2020 our EMEA business reported net sales of $1.6 billion up 1% year-over-year in constant currency. Strong growth in software sales with public sector clients across region was partially offset by continued migration to cloud solutions. Gross profit grew 3% in constant currency faster than sales, including a higher mix of cloud and services sales. Adjusted earnings from operations increased to 12% year-over-year in constant currency to $46 million. BREXIT negotiations wrapped up in December, and the new trading cooperation agreement between the EU and the UK came into effect on December 31, 2020. Under the new arrangement, the general position is that tariffs and other customs duties and taxes will not be applied to goods shipped between the UK and the EU. We do not believe BREXIT has impacted our results materially today. We believe our EMEA business is healthy and well positioned to serve clients across the UK and Mainland Europe with our existing local presence and the supply chain model we've operated on there in this region for some time.  Moving on to APAC on Slide 16, net sales of $45 million and gross profit of $12 million in the fourth quarter, increased 24% and 16% respectively, year-over-year constant currency due to higher sales across all categories in the region. This led to adjusted earnings from operations to $3 million in the quarter. For the full year on Slide 17, in constant currency net sales in our APAC business declined 4% compared to 2019. The decline was primarily driven by decreases in hardware and software partially offset by a 14% year-over-year increase in Insight’s delivered professional services. The team was disciplined in managing discretionary spend and as a result, adjusted earnings from operations for the full year was $13 million up 17% in constant currency.  Before I go on to taxes and cash flow, I'd like to provide some color around how our strategy is impacting our business mix and profitability. As Ken noted earlier, our key imperatives to deliver long-term value are grow sales faster than the market, expand EBITDA margin, optimize return on invested capital, and increased services gross profit as a percentage of total gross profit. In 2020, we make meaningful progress towards these goals, reporting top line growth of 8%, including the full year of ownership of PCM. We also expanded adjusted EBITDA margin by 20 basis points year-over-year due to stronger gross margins and acceleration of our PCM integration plans. We delivered adjusted ROIC of 13%, ahead of our expectations with our strong cash flow generation, more than offsetting the effects of lower earnings than expected due to a recession. And finally in 2020, our services grew 17% year-over-year faster than product sales, which drove our services gross profit as a percentage of our consolidated GP up 130 basis points to 48%. As a result, our services growth was the primary driver for gross margin expansion year-over-year to a new annual record of 16.6%.  Moving on to our tax rates, our effective tax rate for 2020 was 24.4%, compared to 24.7% in 2019. The net decrease in our tax rate was a result of tax benefits made available by the CARES Act in 2020 as well as other offsetting items related to state income, state taxes, and tax credits. Rounding out our cash flow performance on Slide 18, our operations generated $366 million of cash in 2020 compared to $128 million in 2019. As we have highlighted previously, our cash cycle is inverted, meaning we have paid our partners in short terms and we receive payments from our clients. This allows us to drive more cash flow when sales declined sequentially. We experienced this dynamic in 2020, which along with our disciplined cash management practices, has helped drive our cash flow generation of the $356 million to this year, slightly above the top end of the range where we provided another quarter outlook.  We expect cash flow will normalize in 2021 as our business grows, and as we see mix shift to more hardware, such that for the full year of 2021 we expect cash flow from operations will be between $200 million to $250 million. In the fourth quarter, our cash conversion cycle was 30 days, down eight days year-over-year. The decrease in our cash conversion cycle year-over-year benefited from the following items, expanded use of our inventory financing facilities, including the effect of recently negotiated expanded payment term, tight discipline around investments in our inventory, and improved aging performance of our accounts receivables as we deployed Insight’s collection practices to the PCM business.  During 2020, we saw two buildings, one of the fourth quarter of the net proceeds of $14 million and another in the fourth quarter for net proceeds of $26 million. We have four of our buildings test [ph] failed at December 31, 2020 and closed on the sale of all of these facilities in January 2021 for net proceeds of $27 million. Total net proceeds from the sale of all of these buildings was $67 million. CAPEX for the full year was $24 million primarily spent on technology investments. We invested $6 million to acquire a digital consulting company in France in February of 2020. And lastly, we used $25 million to purchase shares of our common stock in the first quarter of 2020. At the end of the year, we had a cash balance of $128 million, of which $112 million was resonant of our foreign subsidiaries and this compares to our cash balance at the end of 2019 of $150 million. We had $349 million of debt outstanding at the end of the year, down from a total debt of $859 million in 2019 and we've substantially paid down the debt incurred to acquire PCM significantly ahead of schedule.  On Slide 19, we're exiting the year with a leveraged position at just over one times debt to cash flow or EBITDA, which is well within our level of comfort. Under our ABL agreement, our primary compliance covenant is a fixed charge coverage ratio, which includes 12-months trailing EBITDA coverage over capital expenditures, taxes, and cash interest. As of December 31st, we're at just under five times against the minimum requirement of one time, and we are confident we can support our capital requirements and liquidity needs.  Moving on to Slide 20, as a reminder, we took actions in 2020 to help preserve our profitability during the pandemic, while positioning our business to emerge healthy and competitive as market conditions improve. Specifically, we reduced discretionary spending across business and certain variable expenses and were not incurred in 2020 due to COVID related impacts on our financial results, such as sales rep commission, bonus, and of course travel. We right sized our operational delivery platforms aligned with volume trends in 2020. As we grow -- as we work to grow faster than the market in 2021, we will continue to rely on the needs of these organizations.  We accelerated our existing PCM integration plans around back office sales and service, which positioned us to exit the year with run rate savings of $70 million one year ahead of our stated timeline. As market conditions improved in 2021, we expect to see increases in these discretionary and expense -- and variable expenses combined into the business. In addition, we continue to invest in our sales and technical resources in 2021 to support business growth. As a result, we currently expect SG&A excluding amortization expense will be approximately 11.7% of net sales in 2021. Our balance sheet is healthy, we have access to capital sufficient to support our growth in the IT -- as the IT market recovers, we believe the steps we took in 2020 will help us emerge in a good position to compete in 2021. I'll now turn the call back to Ken to review our 2021 outlook. Ken.
Kenneth Lamneck: Thank you Glynis. We're pleased with our team's resilience in 2020 and believe our business is poised to recover strongly across each of the markets in which we compete. With respect to our 2021 outlook, we expect to deliver net sales growth between 4% and 8%. We also expect adjusted diluted earnings per share for the full year of 2021 to be between $6.60 and $6.80. This outlook assumes interest expense between 25 million and 28 million, an effective tax rate of 25% to 26% for the full year 2021. Capital expenditures of 75 million to 85 million including approximately 60 million for the build out of our new corporate headquarters, and an average share count for the full year of approximately 36 million shares. This outlook excludes acquisition related intangibles amortization expense of approximately 32 million and non-cash convertible debt discount issuance costs reported as part of interest expense of approximately 12 million that assumes no acquisition related or severance in restructuring expenses.  To assist with your modeling, we have posted a schedule on our website on the Investor Relations page that shows the expected amortization expense and non-cash convertible debt discount, and issuance cost by quarter for 2021. Thank you again for joining us today and want to once again thank our teammates across the world for everything they do for Insight, including the resiliency of our culture display this past year by their daily actions, wanting to be part of such an incredible team. That concludes my comments, and we will now open up the lines for your questions.
Operator: [Operator Instructions]. Your first question is from Matt Sheerin of Stifel. 
Matthew Sheerin: Yes, thank you. And good morning, everyone. My first question Ken is regarding your commentary about hardware and about some lift in backlog and bookings there. When you talk about hardware, are we talking about continuous strength in client devices or are you also seeing an increase in bookings for infrastructure and on-premise projects? And just as part of that question, could you talk about any seasonal trends, it sounds like you've got backlog going into Q1, so should we assume that it could be better than seasonal to start the year? 
Kenneth Lamneck: Yeah, good question Matt, thanks for it. As far as the hardware, we are seeing that across certainly devices, as well as infrastructure in the storage servers, networking as well. So I'd say it's pretty balanced as far as the booking increases that we're seeing. And as we did mention, of course, we did come into the quarter with elevated backlog much due to of course, shortages that were existing and that couldn't be fully supported in at the end of Q4. So that certainly is leading to [indiscernible], although there are some still continued constraints in the market from a supply chain point of view that we're navigating through Q1 as well. 
Matthew Sheerin: Okay, so… 
Glynis Bryan: Just one second Matt. So, we do expect that Q1 seasonally will be stronger than Q4. We're not saying that Q1 is going to be stronger than Q1 of last year. Just to be clear. 
Matthew Sheerin: You mean in terms of year-on-year growth, it is sort of flattish? Okay. Very helpful. Okay, great. And then just on the infrastructure side, can others -- some of your competitors and distributors are talking about still really not seeing a lot of visibility in terms of companies coming back and doing the bigger projects because of shutdowns and that sort of thing. Are you getting any visibility that that should improve through the years, is it still early to tell? 
Kenneth Lamneck: It's too early to tell Matt, and we are certainly believers that it will recover towards the second half of the year for sure. And what drives that, of course, when we look at the cycles that occur in our business is that you can't put these projects off forever. And what has become clear for the pandemic is that all companies are becoming digital. There isn't any company that we talked to that isn't talking about becoming more digital. And in order to become more digital, it's not just a software solution, you've also got to make sure that you modernize your infrastructure, whether that be on premise or the cloud environment. So, that's where we see a lot of these projects coming to the forefront as many clients of course, last year, first focus was completely addressing how do we support from a collaboration point of view or people working from anywhere, that's still going on, but that's certainly much more mature than it was a year ago. So, I think now the companies are starting to look at their environments and understand how they're going to compete effectively going forward. And again, at the top of the list is how do we become more digital. 
Matthew Sheerin: Okay, thank you. And just my last question, regarding the model, you gave us your -- the SG&A percentage for the year at 11.7. So it looks like backing into gross margin looks like gross margin could be up again this year and that would be a little surprising, given that the mix could skew a little bit more toward hardware, or are you continuing to see strong growth in services?
Glynis Bryan: Matt, we would anticipate that gross margin is going to be flat year-over-year, specifically to your point about seeing the higher hardware growth in 2021 than we saw in 2020.
Matthew Sheerin: So flattened year-on-year, okay. Great. Thank you.
Operator: Your next question is from Adam Tindle of Raymond James.
Adam Tindle: Okay, thanks and good morning. I just wanted to start on the 2021 guidance of the 4% to 8% year-over-year growth. What are the assumptions embedded in this for devices in particular, you're lapping a very strong year for the category, I'm just wondering if you think they can still grow embedded in that 4% to 8% assumption? And if possible, could you quantify that backlog and maybe how much it contributes to that to give us some confidence in those numbers? 
Kenneth Lamneck: Yeah, and so overall as far as the forecast for the 4% to 8% growth, so how we look at it basically is that I think in general most economists are viewing the GDP growth will be anywhere from 3% to 4% again, depending what region you're talking about, but in that range. What we typically see of course in these cycles, is that IT will grow 2% to 3% faster than the GDP growth. So that's how we have come to the conclusions of the growth that we should certainly start to see. In regards to devices, certainly, when you look at our makeup of our business, 60% of it being hardware, the rest being software and services. So in the hardware category of that 60%, devices is certainly the largest segment.  It's not the only segment, of course. There's a lot of infrastructure spend in that. But specifically on the device front, I do believe there's growth in devices coming and all the sort of OEM partners that we talked to, I think they feel the same way. There's certainly a lot of constraints you're hearing about in the marketplace. And I think what's driving that, of course, is that, as you saw that the Notebook category increased pretty significantly last year as its company went away from sort of the balance of 55% being Desktop, 45% being Notebook now you're seeing 80% plus being Notebooks. Notebooks, of course, come with a significantly higher ASP, and they also have a significantly higher refresh rate.  So I think what we're also seeing is that, as we talked to our OEM partners is that many clients, of course, are looking at seeing where they might have sweated a Notebook asset maybe four years, they're starting to improve that and shorten that that cycle, especially as a little bit more wear and tear on these devices than there was before. So that sort of gives us the reason for optimism around certainly devices. The other thing that you'll always see is the fact that the channels always seem to do better in devices than the overall market does. That's always proven out. So, we certainly track that data. So, we do believe that there will be -- growth in devices won't be as substantial as it was last year, but it will be a contributor to that growth model. 
Adam Tindle: Okay, and any way to maybe help us with the backlog, how much that represents in 4% to 8% or how much it is in dollars? 
Kenneth Lamneck: Yeah, we wouldn't get that granular on that Adam, but certainly, as I said, it is certainly a contributor and we are seeing positive indications of that. And as you know, there's, tremendous backlog in the areas like Chrome and so forth that are going to probably be constrained through second quarter.
Adam Tindle: Understood. And just a clarification, Ken I think, as you were talking about Q1, you were saying in your prepared remarks, I believe seeing above seasonal and I thought I heard you say up mid-single-digits in terms of Q1, but then, in response to Matt’s question, I think Glynis talked about Q1 being flat year-over-year. So maybe just help me with did you say out mid-single-digits in your prepared remarks or did I catch that incorrectly? 
Kenneth Lamneck: No, you got it right. What I said is in bookings is what I indicated in Q1, that we were seeing, booking rates year-over-year at this juncture in the quarter improve in that mid-single-digit range. And that translates us to be seasonal improvement from Q4 and flattish to last year’s Q1, which of course, as you know, is a pretty strong quarter with COVID coming on the scene. 
Adam Tindle: Yes, yes, it make sense, its helpful. And last one for me, cash flow has been a continued bright spot, their total leverage is now getting to around one times, the balance sheet is healthy. I think you talked about 200 million more of operating cash flow coming. With that as the backdrop maybe just revisit the capital allocation priorities, does it make sense for another PCM size acquisition at this point? 
Kenneth Lamneck: Yeah, we'll certainly always continue to look on the M&A front, it has been a key part of our strategy. So we'll continue to do that at this stage, but certainly continuing to focus on the debt pay down, continue to focus on investing organically in the business which we're doing now, and we started to do in the back half of last year to invest in sales, client facing resources for both a sales point of view and technical point of view. So that's certainly been a priority for us. And you're seeing that a little bit in the SG&A increase as well. And then, of course, we'll look at always returning, dollars back to shareholders. So those continue to be our priorities. 
Adam Tindle: Very helpful. Thanks Ken.
Operator: Your next question is from Paul Coster of JP Morgan.
Paul Chung: Hi, thanks. This is Paul Chung on for Coster. Thanks for taking my question. So, great performance on free cash this year. When you say kind of normalization is seen some improvement in DSOs, maybe your cables come down a bit this year. And then as we think about the seasonality of cash flow, should we expect that very large kind of cash inflow in 2Q and then usage in the second half, kind of like 2020?
Glynis Bryan: Yes, we wouldn't anticipate the change in the seasonality around the cash flow, because that that's driven by the business and the seasonal demands on the business. So that would be a good assumption Paul.
Paul Chung: Okay, and then just on the guidance, the sales outlook spread is a little bit larger than usual. So I assume you are kind of baking in some COVID uncertainty, but what are some of the indicators you need to see to hit the top end of that range and then there's this guidance kind of assume a second half acceleration as the vaccine gets more widely distributed? 
Kenneth Lamneck: Yeah, I think you've got it right there Paul, with regards to the second half. Certainly, I think everybody's indicated that will be stronger, due to the fact that the vaccine is gaining momentum, certainly across the U.S. and in other countries. So that looks pretty optimistic. There are certainly still vaccine variants out there that are in question and concerning. So that might sort of needed to meet the lower end of what our growth guidelines are. But when you look at what occurred back in 2009, during the last sort of big decline that we saw in the economy and in IT, the rebound was substantial in 2010. It rebounded in the high teens sort of run rate. So if we get anything like that, I think the 8% I think is very, very doable. So that's sort of how we came up with the modeling. So I think you're correct in this sort of why there's a wider range. 
Paul Chung: Okay, and then just lastly, just to follow-up on the free cash flow, I mean, so your guidance, your sales is up, your margins are kind of expected to be flat, spending flat, so why wouldn't your free cash flow be up this year, I know you'd some CAPEX spend on the HQ but if you just do that, why couldn’t be slightly up, I know you expect some normalization but what was kind of driving some of that, if you could help us?
Glynis Bryan: So partly it's because of the return to growth. Ultimately, as we grow, because we have that inverted cash flow cycle as we start to grow, we end up using more cash as we go into that growth cycle. So that's what's the primary driver. And as you saw in Q4, we had no debt, sorry, we had no debt under our ABL at the end of Q3 and going into Q4 we had $140 million of debt outstanding under our ABL. So that's also a use of cash that was also driving growth in some of the backlog that you're seeing that will flow through the business going into 2020 going into the first half of 2021.
Paul Chung: Okay, that's helpful. Thank you very much. 
Operator: Your next question is from Anthony Lebiedzinski of Sidoti and Co. LLC. 
Anthony Lebiedzinski: Yes, good morning guys. Thank you for taking the question. So, as far as the supply chain that you referenced, are those primarily for Chromebooks or are you seeing any other constraints? 
Kenneth Lamneck: Yeah, no I think Anthony we are seeing more than just Chromebooks. Certainly glass is probably the biggest overall shortage and of course that would affect notebooks displays of sorts and certainly Chromebook buying has increased pretty significantly. So there's -- that's not helping the costs because it's using so much of that. But we're also seeing other areas that are concerning. Our processes have been sort of tipsy turvy here for the last almost 18 months, right. It hasn't been real consistent supply. So that continues to be a little bit of a concern. I think that gets alleviated more in the future times as Apple of course is committed to using their own silicon. You've seen Microsoft announced they're going use their own silicon in their surface devices, and Samsung has announced they're going to use their OWN Silicon. So, I think that does certainly alleviate but that's a longer term sort of recovery than what we're seeing here for the next quarter or two.  There's also signs of some memory shortages that are occurring as well and of course that goes more -- more of that of course is used. You are seeing automotive complain about the fact they can't get enough devices themselves. So it goes across the full supply chain and certainly infrastructure products are also impacted by that. It's not a reason for alarm at this stage, but certainly lead times are stretching and there's a lot of focus on improving lead times at this stage, but it definitely is not flowing like it would normally flow.
Anthony Lebiedzinski: Got it. Okay. Thanks for that color, Ken. Definitely appreciate that. And then as far as just looking at the guidance for the year, so you're expecting the back half to be better than the first half, and as far as just wondering now that you have PCM fully integrated, you've had it for a while, but if you could just talk a little bit as far as growth that you've seen from existing customers versus your ability to win new customers now that you've had PCM under your belt? 
Kenneth Lamneck: Yeah Anthony, really good question. And I think one of the other reasons, of course, we are optimistic on growth for 2021 is the fact that, last year was a heavy year for integrated PCM, especially during the COVID environment where we were doing much of this remotely. So you can imagine the numbers of people internally operating to white glove clients over to our new systems and platforms and web interface and EDI transactions. So a lot of very internally focused that you'd expect when you do an acquisition of that size. That's certainly all well behind us now as we enter 2021. So, we believe that certainly a lot of those clients that's now their PCM teammates fully understand all of our reporting and all of our systems, all of our tools. So they're operating certainly a much higher degree of efficiency than they certainly operated last year at this time as an example. So that certainly gives us also optimism for growth and acceleration of the business. 
Anthony Lebiedzinski: Got it, alright. Thank you. And best of luck. 
Operator: [Operator Instructions]. Your next question is from Marc Wiesenberger of B. Riley Securities. 
Marc Wiesenberger: Thank you, good morning. Wondering if you could talk about wallet share gains across your customer cohorts and where were you able to successfully increase scale or scope with these customer cohorts and if you could quantify some of those things?
Kenneth Lamneck: Yeah, I mean, certainly when you looked at where we certainly gained, certainly the software business has continued to be strong for us. We saw cloud again, we talked public cloud revenues and GPB and now GPB is 20% of our total GP. So that continues to grow and certainly the data sets we have that we are gaining share in those areas. From a business point of view, what we saw in fourth quarter specifically was that, our public sector business was up on nicely in the 15% range for Q4 year-over-year. And that represents in the quarter about 13% of our total revenues came from public sector, so good growth, but we know there's a lot more opportunity in the public sector space and we're continuing to invest very heavily in that area, we are continuing to grow there. And then what we saw really pretty much from our enterprise clients sets and our commercial client sets, the remaining parts of our business in the quarter they were down 2% from a comparison point of view. And so that's where we sort of saw how the market's sort of played out, which again was a significant improvement from what we saw in Q2 and Q3 in those categories.
Marc Wiesenberger: Great. Thank you. And, and maybe if you could talk about the priorities within the respective cohorts, kind of in the fourth quarter and how you expect that to kind of evolve through 2021 and would any of those kind of changing priorities impact the typical seasonality that we might see in the business and the impacts on the P&L? 
Kenneth Lamneck: Yeah, I don’t think so. I think when you talk about the priorities, are you talking about it more from a client perspective?
Marc Wiesenberger: Correct. 
Kenneth Lamneck: Yeah, so what we see in general across the board for clients of course, it's continued focused on how they continually improve their ability to collaborate and work from anywhere. So that continues to certainly be a top priority in a very secure way. So security is the top of every client's list as you well know, right. So none of them are going to take any chances there. And of course, as we become more remote and virtual, we've exposed ourselves more from a security front. The security of course is getting lots of attention and driving certainly a lot of substantial dollars. Of the others I mentioned earlier of course is all clients are becoming more digital. So new priorities in there and how they become more digital, how they become more e-commerce oriented. So that's where digital innovation area is helping our clients pretty significantly. And then of course, that dovetails very nicely because again as I mentioned, you've got to modernize the infrastructure, whether it be private or public cloud. So those two cohorts work closely together improving our -- certainly our client experience. So those are the key drivers. Again, everybody -- everything being digital is driven by AI and so forth as well as the work from home collaboration and security are certainly big key areas that of course all of our clients are focused on, and certainly we're focused on.
Marc Wiesenberger: Great. And one final one for me, with 5G and private networks starting to gain traction, I'm wondering how involved is Insight with IoT and industrial IoT and I know it's still very early, but kind of any medium term aspirations on how that could evolve as a percent of the total business? Thank you. 
Kenneth Lamneck: Yeah, that's a good question. It's one area, Mark that we are certainly very engaged on. We believe very strongly in the intelligent edge, as we've said, there's three clouds. There's the private cloud, which we know and love, the public cloud, which we know is driven by a few key players, AND the largest cloud that will evolve as the intelligent edge is everything comes down to moving from data centers to centers of data. So as things become more and more IoT enabled through AI, that will drive the intelligent edge in a big way. I do believe that COVID probably has set that back a little bit from our prioritization of a lot of our clients, but we saw that accelerating in 2019, a little bit muted of course in 2020, but we do expect that to start to continue to recover. So, we believe we're very well positioned for that emergence of IoT. And that's where digital innovation team is very, very active in supporting clients at the edge and again, that's where our connected workforce also comes through to really help do that through a managed services. So we are seeing, certainly some good bright spots in that area but we believe that's a future growth area for us as a company.
Marc Wiesenberger: Great. Thank you very much.
Operator: Our final question is from Vincent Colicchio of Barrington Research.
Vincent Colicchio: Yeah. Ken, most of my were answered, just the supply constraint issue, did that improve at all sequentially or is it sort of status quo? 
Kenneth Lamneck: Yeah Vincent. We're seeing this as probably pretty much status quo. We sort of at all anticipate and hope that it would improve in Q4 and it got a little bit stretched there. And I think, the demand environment is improving to a degree. Certainly we can see that through our booking rates. So I think that's putting more constraints on that. So I think it's going to be a little bit touch and go on supply constraints certainly through this quarter and into second quarter. Again, not catastrophic type of situations where we're seeing huge sort of ASP increases driving all this as well. But certainly something that we're monitoring, on a daily basis. 
Vincent Colicchio: And then last one just to be clear, are you complete with the cost savings for PCM? 
Glynis Bryan: Yes. 
Vincent Colicchio: Okay, thank you. 
Kenneth Lamneck: Thank you. 
Operator: There are no other questions in queue. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.